Operator: Good morning, ladies and gentlemen, and welcome to the OceanaGold Corporation Q4 2025 Earnings Call. [Operator Instructions] This call is being recorded on Thursday, February 19, 2026. I would now like to turn the conference over to Rebecca Henare, Vice President, Investor Relations. Please go ahead.
Rebecca Harris: Good morning, and welcome to OceanaGold's Fourth Quarter and Full Year 2025 Operating and Financial Results Webcast and Conference Call. I'm Rebecca Henare, Vice President of Investor Relations. We are joined today by Gerard Bond, President and Chief Executive Officer; Marius Niekerk, Chief Financial Officer; Bhuvanesh Malhotra, Chief Operating Officer; and for the first time, Keenan Jennings, Chief Exploration Officer. The presentation that we will be referencing during the conference call is available through the webcast and on our website. As we will be making forward-looking statements during the call, please refer to the cautionary notes included in the MD&A and annual information form. All dollar amounts discussed in this conference call are in U.S. dollars. I will now turn the call over to Gerard for opening remarks.
Gerard Bond: Thank you, Rebecca, and good morning, everyone. 2025 was a truly stellar year for OceanaGold with numerous achievements across the board. There's a lot on this slide because there's a lot to be celebrated. Firstly, we safely and responsibly delivered on our guidance for each of production, all-in sustaining costs and capital. Our strong operational performance supported by a favorable gold price environment has led to record financial success and significant value creation for OceanaGold shareholders. We set numerous financial records this year, including record annual EBITDA, EBITDA margins, net profit, earnings per share operating cash flow and free cash flow. The profitability metrics were also records even when adjusted for the after-tax impairment reversal at Haile, which is itself a great confirmation of the value that Haile now represents. Importantly, these annual financial records in 2025 were achieved at an average realized gold price for the year of around $3,500 an ounce, which sits significantly below today's gold price. We also progressed our organic growth options in the year. We received all the permits necessary for the world-class Waihi North Project, and the early works spend advanced as planned. We also continue to add value, life and optionality through exploration programs at all sites this year. We were able to invest in sustaining and growing our business and we strengthened the balance sheet by increasing our cash holdings substantially. We have no debt, no gold hedges, no prepays or financing royalties. And today, we have the strongest balance sheet in the company's 37-year history. Very pleasingly, we returned a record amount of capital to shareholders in 2025, with our doubled quarterly dividend and our increased share buyback we returned just over $200 million in the 2025 year. Operating our assets well, converting most of the price gains to the bottom line and being disciplined with capital resulted in our 2025 return on capital employed being a very attractive 18%, which is double that of 2024. In delivering our record $543 million of free cash flow we generated a free cash flow yield of 15% on our average 2025 market capitalization. I think that's a great number, a real net 15% free cash flow return for shareholders on the average market value of OceanaGold shares in a year when the market value of the company rose by 225%. Again, these return on capital and return on equity metrics reflect our ability to translate the favorable gold price environment into strong bottom line performance, meaningful cash generation and effective capital deployment. Looking ahead to 2026 guidance, we are expecting another year of strong operational delivery with guidance projecting higher production, lower all-in sustaining costs and increased investment in value-accretive capital projects. Using the midpoint of 2026 guidance, we expect to produce 12% more gold than we did in 2025 at a 7% lower all-in sustaining cost. The gold production growth is driven by a 35% increase at Haile, where the investment we made in open pit waste stripping in 2025 gives us good access to high-grade ore in 2026. This significant increase in gold production and an expected 25% decrease in its unit cost sets Haile up for another record year. Macraes production is expected to be broadly consistent with 2025 with good access to open pit ore throughout the year. At Waihi, I'm very pleased with the improvement work done by the team in 2025, and we expect the improved mine performance to be sustained in 2026. At Didipio, we also anticipate around the same level of gold production with a slight improvement in all-in sustaining costs, largely due to higher copper byproduct credits. Our growth in exploration capital is planned to increase substantially compared to 2025, up 2.5x to $340 million. This is great news for shareholders as it reflects us accelerating development of the recently permitted Waihi North Project, commencing development of Palomino underground at Haile, and meaningfully stepping up exploration activity across all sites, which Keenan will touch on in a moment. Overall, we see 2026 as a year where we are expecting to generate a bucket load of cash in a year where gold prices are significantly higher than they were in 2025. This graph shows how we deployed our operating cash flow in 2025 and how our guidance and capital return announcements are illustrating what could occur in 2026. On the left-hand pie chart, you see that in 2025, we invested in the business advanced our growth and exploration projects, strengthened the balance sheet and returned over $200 million or just under 40% of free cash flow to shareholders. On the right-hand side, you can see how we plan to allocate capital in 2026. In the sustaining capital wedge, you can see we are spending less overall year-on-year. This is a combination of two things. We're actually spending more in 2026 on improving the integrity and availability of fixed plant and mobile equipment, which provides a strong payback at high gold prices. However, this is offset by spending much less than open pit waste stripping this year following the completion of last year's campaigns. We are substantially increasing the investment in growth and exploration. This is primarily the development of the world-class Waihi North project commencing the build of Palomino underground at Haile and increasing exploration spend by 50%. All this makes for a stronger future. And we are materially lifting returns to shareholders. The OceanaGold Board has approved a tripling of the quarterly dividend and a doubling of the share buyback in 2026, resulting in up to $432 million of capital returns to shareholders. This is a 112% increase year-over-year. We can do all this and still add a lot of cash to the balance sheet, making OceanaGold even financially stronger and giving us plenty of optionality for future growth. I'll now turn the call over to Marius, who will discuss our quarterly financial results in more detail.
Marius van Niekerk: Thank you, Gerard, and good morning, everyone. Looking at our Q4 results, we delivered on the strongest production quarter of the year, and it was especially pleasing to see increased production from all four of our sites. We continue to invest in our exciting organic growth pipeline this quarter, including the world-class Waihi North project, which remains a key focus for us. Strong operating performance across the business in the quarter, and a record average realized gold price of just over $4,200 per ounce resulted in our best ever financial results with a record free cash flow generated. During the fourth quarter, we adjusted for the after-tax impairment reversal of $133 million at Haile. This increased the value of Haile after considering the lift in long-term gold price assumptions as well as improved performance. We are now in the strongest net cash position ever with 0 debt and cash of $477 million, up 42% from last quarter. This cash increase is after investing in our business and also after returning over $100 million of capital in both dividends and buybacks during the quarter. In the fourth quarter, we delivered record-breaking results across all key financial metrics, reflecting strong operational execution, disciplined cost management and translating to higher gold price to the bottom line. At a high level and comparing the fourth quarter versus the same period last year, we had several notable achievements. Adjusted EBITDA surged 49% with adjusted margins expanding to 57%. As many of our peers have reported and with the strong price rise in our share price, we've incurred an increase in share-based compensation expense in Q4. A portion of this expense is accounted for in G&A and the rest in cost of sales. Further information on this is set out in our financial statements. As a whole, our Q4 adjusted EPS includes roughly a $0.26 per share impact from share-based compensation. So with that in mind, adjusted net profit and earnings per share roughly doubled from the prior year while operating cash flow per share increased to $1.21. Free cash flow hit a record $259 million, exceeding the total free cash flow generated in all of 2024, and that is in just 1 quarter. When considering the full year picture, it very much tells the same story. These achievements underscore our strict cost and capital discipline and demonstrate our ability to capitalize on a strong gold price environment. And as a reminder, cash costs and EBITDA in 2025 included accounting allocations from capitalized sustaining into operating costs related to the waste stripping at both Haile and Macraes. This translates to around a $70 per ounce increase in cash costs in the year, but did not impact AISC or free cash flow nor did it change how we operate. And as a result, deferred stripping is well below guidance. With an annual adjusted EBITDA of around $1 billion in 2025 and landmark per share performance, we remain focused and well positioned to increase returns to our shareholders through 2026. I'll now pass it over to Bhuvanesh to discuss our operating performance.
Bhuvanesh Malhotra: Thank you, Marius, and hello, everyone. I would like to start by saying just how pleased I am with the outcome at all four of our sites this year. In quarter 4, all sites increased the number of gold ounces they produced every site met its production guidance, and most importantly, we delivered these results safely. Haile had an excellent year delivering on production and cost guidance. Gold production at Haile was 56,000 ounces in the fourth quarter, which was our planned highest production quarter of the year. There were three main contributors to the strength. First, we very importantly reached ore in Ledbetter open pit which not only contributed to a strong fourth quarter, but also is the main driver of production growth in 2026. Second, Horseshoe underground also performed well in the quarter, throughout 2025, we focused on getting ahead on development, and I'm pleased that today, we are in a position where our decline advance is a full year ahead of mine sequence. And third, we completed some prudent upgrades to the crusher to remove bottlenecks and in doing so, sustainably increase the mill throughput during the quarter. This also contributed to a strong quarter 4. In line with production achievement for the year, all-in sustaining costs was also in line with the guidance. An updated technical report is on schedule to be released at the end of March that will show how the next phase of [ flood ] data will be mined from underground. The change in mining method improves the margins and overall NPV of the mine. This technical report will show a mine plan at Haile that is expected to produce above 200,000 ounces of gold per year from 2026 through 2031 and providing the mine a more consistent production profile. Macraes also had a strong year in 2025. A meeting both production and cost guidance with 56,000 ounces delivered in the fourth quarter. Similar to Haile, the major driver of production in the fourth quarter at Macraes was access to higher grade ore from the open pit. The investment in waste stripping at in mills through the first 3 quarters of 2025 allowed access to higher-grade ore in the fourth quarter. And will continue to contribute to the production profile in 2026. Production strength during the quarter drove an improvement in unit cost with all-in sustaining cost of under $1,300 per ounce, down materially from quarter 3. What's really exciting at Macraes is the leverage the site has to the rising gold price. The updated technical report scheduled to be released at the end of March will show an attractive 5-year mine life extension to 2032 at a prudent $2,200 gold price. Beyond the current reserve life, total mine life extension opportunities are being evaluated that could potentially extend mine life even further given the higher gold price environment and the inherent optionality at Macraes. Moving on to Waihi, I'm very pleased to say that Waihi exceeded its production guidance and met its all-in sustaining cost guidance for the year. In the fourth quarter, Waihi delivered its strongest production quarter of the year, just under 22,000 ounces of gold, maintaining the progress achieved to the underground improvement plan initiated in 2024. This great turnaround at Waihi, in recent quarters is a testament to all the hard work done by the team there. At our Waihi North project, I'm thrilled that we received final permits in the fourth quarter and expect to start the underground decline towards Wharekirauponga by mid this year. Early works such as detailed design, bulk earthwork and construction activities continued to advance in the fourth quarter and will continue throughout 2026. I look forward to keeping you updated on the progress this year. Didipio met its production guidance for the year and produced approximately 24,000 ounces of gold and 3,200 tonnes of copper in the fourth quarter. Our investments in mine resilience such as underground pumping infrastructure paid off in the fourth quarter, the numerous extreme weather events did not disrupt production. On the back of this investment, all-in sustaining cost for the full year was around the top end of the guided range. Underground activity in 2026 is focused on increasing development rates and improving stope availability. We will be releasing an updated technical report in the first half of the year that will detail the remaining work required to reach a sustained mining rate and provide an updated life of mine plan. I will now turn the call over to Keenan to discuss exploration in more detail.
Unknown Executive: Thank you, Bhuvanesh. It's great to be with you all for my first quarterly updates to the market. Joining in the last quarter of 2025, I'm really fortunate to have inherited a high-caliber team an opportunity set here at OceanaGold. I look forward to contributing to the legacy of growth and adding even more value through the drill bit. This is supported by the highest ever exploration budget in 2026 and increasing at all four sites and with a renewed focus on our greenfield activity. Our exploration strategy comprises three pillars as pathways to success. The first is conversion of existing resources to reserves. This underpins our production. Here, we have an ambitious program across all of our sites with the goal to replace ounces due to mining depletion. The second pillar, brownfields exploration creates optionality for our business. We will assess opportunities along strike and down dip of our known resources to target additional mineralization that increases the life of our assets. And our third pillar is strengthening greenfield exploration. In 2025, we signed earn-in agreements with Headwater Gold in Nevada and Carolina Rush in South Carolina to test targets that we think are scalable, complementary to our existing business and play to the expertise of our teams. This year, we're also committing to following up targets we fully control in New Zealand and in the Philippines and continue to hunt quality opportunities in the U.S., Canada and Australia. This uplift in our capacity and capability will deliver OceanaGold new discoveries and further diversify our portfolio. I would like to talk specifically about Wharekirauponga, our flagship development program, where we are executing on both the conversion and brownfields exploration pillars of our strategy. With New Zealand government approval of our planned growth, we will double the number of rigs operating to continue to build our ore body knowledge and grow the resource. The first half of this year will focus on converting resources to reserves. We aim to complete more than 30 drill holes, targeting more than 300,000 ounces of reserves. In the second half, we will pivot to follow up what appears to be a new higher-grade zone opening to the south. Here, we're adding a further eight holes to target growth of 150,000 ounces of inferred resources. This is a tremendous time at OceanaGold and a great opportunity for our exploration teams to further shine. I'm really looking forward to 2026 and beyond. And with that, I'll turn the call back to Gerard.
Gerard Bond: Thank you, Keenan. In summary, the fourth quarter was an incredibly strong quarter to cap off a successful year where we met production and cost guidance and delivered record financial returns. Going forward, we will continue to focus on safe and responsible mining and delivering on our guidance commitments. We expect to generate significant free cash flow and add to our strong balance sheet. 2025 was an outstanding year, and we expect 2026 to be even better. We will advance our attractive growth and exploration projects while delivering increased returns to shareholders with a tripling of the dividend and a doubling of our share buyback. And we look forward to completing our listing on the New York Stock Exchange in April in support of our strategy of increasing value for shareholders. I do want to acknowledge that our stellar 2025 results were only possible through the dedicated efforts of the many tremendous people who work at OceanaGold and a big call out of thanks to them for that. It's a great time to be in the gold industry, and I'm incredibly excited about the year ahead for OceanaGold. I'll now turn the call over to the operator and open up the line for any questions.
Operator: [Operator Instructions] Your first question comes from Ovais Habib with Scotiabank.
Ovais Habib: Congrats to you and your team. Solid quarter and 2026 guidance. And really great to see a significant increase in the share buyback. A couple of questions for me. Just starting off with Haile. It looks like -- and based on the reserve update, it looks like you're leaning towards going underground at led better. Assuming you do give the green light, what permits would be required to move from the open pit to underground. And then assuming you do move forward, with the underground option. When will we start seeing any sort of development commence there?
Gerard Bond: Thanks, Ovais. I'll hand the ball over to Bhuvanesh to answer that question.
Bhuvanesh Malhotra: Thanks, Ovais. The permit change required is a minor permit modification from moving from an open pit to an underground which was similar to the Palomino pieces that we have done before. In relation to the work, we commencing the front-end engineering work now as there will be some modifications to the plant that we need to make as a result of some ore characterization work that was completed and then the development is a good 2-year period. I will start the development sometimes next year. We'll have the first development over towards the back end of '29 and then into the full sustainable ore production from 2020 onwards.
Ovais Habib: Excellent. And just then moving to the Waihi North project, more towards the exploration side. Keenan, welcome to the team. Now that you have the permits in hand, looks like development is aggressively moving forward. But you talked a little bit about focusing on the [indiscernible] deposit just its own and towards the South, is there any plans of setting up some drill stations along the corridor between Waihi and the Waihi North Project as well.
Unknown Executive: Thank you for your kind words. We are working to a very specific schedule. We have some constraints in terms of the number of rigs that we are able to put into the area of interest. Our focus for the first half of the year is a resource to reserve conversion program. And yes, then we will be pursuing further south. The trajectory of the development tunnel remains an area of interest to us. and we will be planning additional exploration effort along that trajectory in due course.
Ovais Habib: And based on the drilling or the drilling that you're going to start commencing that, when do you start expecting some sort of results from that -- those areas?
Unknown Executive: We are already drilling. We have the three rigs that we had from last year. We'll be adding additional rigs through the course of the next couple of months. We expect initial results to be coming out midyear, and these will be furnishing a technical report update, which will be issued later in 2027.
Operator: Your next question comes from Fahad Tariq with Jefferies.
Fahad Tariq: For the upcoming studies for just the different mines, can you just remind us what the gold price assumption you're considering?
Gerard Bond: Gold price assumption for our studies upcoming. I think we're using about $2,200 an ounce for each.
Fahad Tariq: Okay. Okay. So that's consistent with the reserve pricing?
Gerard Bond: Yes. So that's consistent with our reserves and resources that we put out today. We're using $2,200. So they're still very conservative have in regard to current market prices.
Fahad Tariq: Got it. That's clear. And then just thinking about maybe on the cost side of things, obviously, costs are getting better year-over-year, which is great. But can you just talk about any underlying cost inflation that you're seeing, any pressures, whether it's labor or consumables, probably not fuel, maybe that's a tailwind. But yes, maybe on the labor consumables side?
Gerard Bond: I'll hand it over to the CFO.
Marius van Niekerk: Look, we've been saying throughout the year, a big part of our cost base is labor. Cost labor cost inflation is real. So we're seeing in the region of single-digit increases from that perspective. But other than that, there's some variable changes from a consumables perspective. We did see a higher spend on maintenance, but that was just to improve reliability throughout the year. Other than that, there's really nothing else that we see.
Fahad Tariq: Okay. Great. And then maybe just a last one. Just given how strong the free cash flow profile is thoughts on and how quickly the cash balance is growing, just thoughts on M&A would be great.
Gerard Bond: Yes. Thanks, Fahad. I mean it's -- I mean we put in that allocation slide, you can see that we're primarily investing back into the business into growth, giving cash back to shareholders, $432 million is the combination of the dividend and the buyback. That you're right. That will result in still if prices stay out or any near these levels still result in the cash build and that gives us the buyer power to consider a lot of things. in the inorganic space. But our strategy as it relates to M&A hasn't changed, either geographically or the type of thing that we're looking at. So it does remain an option, not a priority focus, but we do look.
Operator: [Operator Instructions] Your next question comes from Harrison Reynolds with RBC Capital Markets.
Harrison Reynolds: Good morning Ocean and Gold team, and congratulations on another great quarter and full year. I wanted to start off at Macraes, great to see the mine life extension formalized due to increased reserves. But wondering if you could talk a little bit about your expectations for the life of this asset going forward beyond that? And what sort of investments you're making now to have this run beyond 2032.
Gerard Bond: Yes. Great question, Harrison. I'll hand it over to Bhuvanesh in a minute for more color, but this is a fabulous area. It's been, as you know, running for -- coming up to a 36th year. And I think the -- what the study shows -- sorry, what the work that we've done shows is that particularly at an elevated gold price from reserve from what we had, which was $1,750 out of $2,200, we have considerable mine life extension. And if you were to play an even closer to spot price, you'd have more of those resources coming into reserves. And we're doing a lot of study work to unlock that. There's a lot of optionality around it. And perhaps, Bhuvanesh, that's where you can pick up and answer the question.
Bhuvanesh Malhotra: Thanks, Harrison. I think as Gerard alluded to as well, our first price probably is to extend the inner mill spits, that's where the pits extending from 10 to 11 comes into play. And at a $5,000 gold price, this offers an exceptional leverage and the optionality that we could probably undertake as well. So that's our first price and that's what we're evaluating now. And then the northern corridor of the Macraes mine just past the Coronation North pits are the second price that we have basically been evaluating and that's where Keenan would basically be planning to drill as well. So those are the two primary areas where we think the immediate growth can basically come from in Macraes from 2032 onwards.
Harrison Reynolds: Great. That's good color. And then one more for me. Could you talk a little bit about the decision for the buyback number. It's great to see it increase, but wondering if you could talk about the assumptions that are baked into that, including any gold price assumptions. And by the middle of the year, that seems like would you consider upsizing it? Or would you look at other things like a variable dividend? Or how would you think about excess free cash if gold prices stay stronger?
Gerard Bond: Thanks, Harrison. Yes, that would be a favorable circa I mean we're approaching this year much as we did last year, increasing the dividend increasing -- well, last year, we established the buyback but actually really executed strongly against them. To your point, we -- last year, we started with a $100 million target, and we upsized and executed $175 million. So subject to operating performance and prices, there is always that option. But we start this year with -- as you said, how do we size that, just by reference to balance. And if I look at the inferred percentage of what the buybacks and dividends represent as a projected allocation of our operating cash flow, if you would just use the midpoint of our guidance range and a reasonable price assumption you'd have about 40% payout ratio. In that graph in our slide deck, we assume a $4,700 gold price for illustrative purposes. So you can see that, of course, if the gold price was to stay above that, then the opportunity for more cash build is higher, and therefore, the opportunity for an increase in buyback is possible. But as we did last year, we're setting out to execute or do what we say we're going to do. And if performance and price allows it to be upsized, great.
Operator: I will now turn the call to Rebecca for additional webcast questions.
Rebecca Harris: Thank you, operator. The question reads, congratulations on your results. do you think your 2026 guidance for Didipio mine is conservative given the plan to increase mining rates through the year and the availability of lower areas of the mine after the dewatering was completed.
Gerard Bond: Yes. I mean I'll lead off with that and perhaps Butanes can answer as well. We set guidance to a level that we plan to deliver on. And there are a lot of variables in relation to any mine. We did have some rainfall at the end of last year. As Bhuvanesh has said in the call, it didn't impact operations, but it does alter our starting point for this year. But yes, we have a plan over a number of years to increase the underground mining rate. There are a lot of variables in mining, and we set a guidance amount that we expect to be able to deliver on. I don't think I left you much to say there, Bhuvanesh Malhotra, so we might call that the answer to that question. Operator, are there any other questions?
Operator: There are no further questions at this time. I will now turn the call over to Gerard Bond for closing remarks.
Gerard Bond: Well, thank you, everyone, for listening in, and thanks to everyone at OceanaGold for delivering these great results. On behalf of everyone at OceanaGold, we appreciate you joining us and wish you a very pleasant rest of the day. Bye for now.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.